Operator: Good morning, my name is Holly and I'll be your conference operator today. At this time, I would like to welcome everyone to the Genuine Parts Company First Quarter 2014 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). I would like to turn the call over to Sid Jones, Vice President, Investor Relations. Please go ahead, sir.
Sidney Jones: Good morning, and thank you for joining us today for the Genuine Parts Company first quarter 2014 conference call to discuss our earnings results and outlook for full year. Before we begin this morning, please be advised that this call may involve forward-looking statements regarding the company and its businesses. The company's actual results could differ materially from any forward-looking statements due to several important factors described in the company's latest SEC filings. The company assumes no obligation to update any forward-looking statements made during this call. We'll begin this morning with comments from Tom Gallagher, our Chairman and CEO. Tom?
Tom Gallagher: Thank you, Sid, and I would like to add my welcome to each of you on the call today and say that we appreciate you taking the time to be with us this morning. Paul Donahue, our President, and Carol Yancey, our Executive Vice President and Chief Financial Officer, are both on the call as well and each of us has a prepared remarks and once completed we'll look forward to answering any specific questions that you may have. Earlier this morning, we released our first quarter 2014 results and hopefully you've had an opportunity to review them, but for those who may not have seen the numbers as yet, a quick recap shows sales for the quarter were $3.625 billion which was up 13%. Net income was $157.5 million, which was up 9%, and earnings per share were $1.02 this year compared to $0.93 in the first quarter last year, and the EPS increase was 10%. We are pleased with our overall results in the first quarter and we feel that the GPC team is off to a solid start to 2014. The combined 13.3% sales increase was our strongest performance in a few quarters and certainly acquisitions helped boost the overall results, but we were pleased as well with our performance of the underlying businesses especially in light of the number weather related closures that we experienced across each of the businesses during the quarter and we are also pleased that our increase in sales on a per day basis improves sequentially in each of the businesses as we worked away through the quarter which is encouraging. In looking at the sales results by segment, our Electrical and Automotive operations had very strong quarters with Electrical being up 30% and Automotive up 23%. Industrial was plus 4% and Office Products was down 0.5%. Paul will cover the automotive details in a few minutes but first I will make a few comments about the non-automotive operations, starting with Motion Industries, our industrial distribution company. You recall that this segment had a challenging year in 2013 ending the year down 0.5%. We saw a bit of a pickup in the fourth quarter when we were up 3% and this was followed by their 4% increase in the first quarter, so a bit encouraging. Also encouraging is the fact that 9 of our top 10 customer segments are generating positive results for the first quarter with automotive and iron and steel categories leading the way along with customers and the lumber and wood products, and coal aggregate and cement product categories growing nicely as well. This latter two are important parts of our overall business and it's nice to see them showing solid growth, perhaps indicative of improvement in the housing and construction sectors. It's also interesting to note that after several quarters of decreases the original equipment manufacturing segment was up modestly in the quarter and hopefully a sign that demand from this important segment is starting to improve for us. Our general sense is that demand in the overall industrial segment is firming up a bit. Still a bit uneven across certain customer and product categories, and then talking with our customers we still hear a bit of cautiousness, but not as pronounced as it was six months ago. And importantly two important leading demand indicators for us, the industrial production and capacity utilization indexes, continue to be at historically health levels. As a result of all of these, we continue to anticipate a respectable year from our industrial operations. Moving on to EIS, our electrical electronic company, they had a terrific quarter with revenues increasing 30%. Certainly recently completed acquisitions were a big part of their increase, but we do see signs that the underlying conditions are improving somewhat. As with Motion, there is a bit of unevenness in the recovery, but encouraging signs all the same. This combined with the ongoing contributions that we will get from the recent acquisitions as well as the continuant firmness in the ISM Purchasing Managers Index, a key demand indicator for us; all of this will enable us to look forward to strong double digit for EIS over the remainder of the year. And finally a few comments on office products. Although down slightly for the quarter, we were a bit encouraged by a few of the trends that we saw develop in the first three months. Our business with the independent office products resellers was down 1% on the quarter, but this part of our business actually improved as the quarter progressed and was nicely positive in March, and somewhat similar comments on the mega segment of our business. This group was up mid-single digits in the quarter with March being the strongest month. On the product side, furniture was up mid-single digits while technology products, core office supplies and cleaning and break (inaudible) were each down a bit but encouragingly all four product category showed nice positive growth in the month of March, and it's been a while since we have seen all four of the major product category show positive results in the same month. Certainly the biggest news for office products segment is the reason announcement that S. P. Richards has been named the first call wholesaler for the combined Office Depot, OfficeMax business. We are honored and we were proud to have been selected and this enhanced relationship will add over $100 million in annual volume to S. P. Richards starting on the second half of the year. So an incremental $50 million or so over the second half and this will be a nice boost to the overall S. P. Richards sales results in 2014. So that's a quick overview of the non-automotive businesses, and at this point I will turn it over to Paul to go with the automotive segment. Paul?
Paul Donahue: Thank you, Tom. Good morning, everyone and welcome to our conference call. I'm pleased to join you today and to have an opportunity to provide an update on the first quarter performance of our automotive business. As was mentioned in our previous conference calls, we now include in our automotive recap the results from GPC Asia-Pacific, which was consolidated into our results on April 1, 2013. As Tom mentioned in his opening remarks, our automotive business grew top line revenues by 23% in the first quarter. To further explain our growth, the numbers breakout as follows. Acquisitions, primarily GPC Asia-Pac, contributed 17% of the 23%, our core business grew 7%, and currency had a negative impact of 1 plus percent. I would like to take this opportunity to walk you through our North American numbers and provide an overview of our first quarter performance. As we reflect on this past quarter's results, it would be apparent the numbers are very similar to our fourth quarter performance. A combination of colder weather, solid industry fundamentals and a shift in the Easter holiday but most importantly improved execution in the field enabled us to report another good quarter. All of these factors played a part in our team generating a 7% top line increase. When evaluating our quarterly performance, we are encouraged to see that all regions of the U.S. are positively contributing to our sales growth. As was the case in the fourth quarter, the top performers in the first quarter were once again those that were most impacted by the colder winter temperatures. Our division stretching from the plains across the Great Lakes to the Northeast continued to lead the way for the company. In addition these colder temperatures provide a positive momentum for a number of our key product categories which I'll touch on later. But as Tom commented in his opening the extreme weather we encountered during the month of January and even into February and some southern states as well as up and down the eastern seaboard forced numerous store and customer closures and had a negative impact on our business. However, we continue to believe the overall benefits to the parts business as a result of these extreme cold temps outweigh any of the negatives. Now turning to our U.S. company-owned store group. Comparable same-store sales growth in the fourth quarter came in at plus 8%. This strong performance follows a 7% same store sales growth in Q4. Our sales growth in the first quarter was driven by a healthy 8% increase in our commercial and our wholesale business. Diving deeper into our commercial results, our non-fleet related business turned in another stronger quarter generating an 8% increase. For the second consecutive quarter, both our major account customers as well as our 15,000 plus NAPA AutoCare centers generated double-digit increases. We are pleased with the progress, our team continues to make in this all important segments of our commercial wholesale business. We also can report an increase in both our average wholesale ticket value and our average number of tickets for the quarter and we are encouraged by both of these trends. Wrapping up our discussion on the commercial segment, we generated strong results in our fleet business, generating 8% growth in the first quarter. And these are the best results out of this segment of our business in a number of quarters. Turning now to our retail business, we can report this important segment outpaced our wholesale business in the quarter by posting a 9% overall increase. It has been a number of years since we reported this significant of an increase from our retail business. As we saw with our wholesale business, both our average ticket value and our average number of tickets increased in the quarter. We are pleased with our team's efforts in our stores and the energy behind our many retail initiatives. Now, let's take a look at a few of the product categories driving our growth. Much like the fourth quarter, our NAPA batteries and battery related accessories continued to pose strong results. These categories grew mid-double-digits in the quarter. Not surprisingly, the cold winter temperatures throughout much of the country also drove double-digit increases in both our starter and our alternator business. Other big growth categories for us in the quarter were our wiper and our chemical business, as well as our chassis business. Key product category such as brakes, filters, belts and hoses all mid-single-digits in the quarter. As we head in the spring and with the arrival of warmer temperatures, we expect to see sales in these core product categories ramp up. So in summary, we remain encouraged that both our North American and our Australasian automotive operations report another quarter of improved results. We remained positive about the core fundamentals of the automotive aftermarket and the growth opportunities available to us in both the retail and the commercial sectors. We have a new ad agency in place, a new 18-year-old NASCAR driver named Chase Elliott who has posted back-to-back victories in recent weeks, and a new retail customer loyalty program that is currently being piloted in a select number of operations. To-date, we are pleased with the results. We plan to rollout additional locations later in the year. Many of the key aftermarket industry metrics remained positive. However, we are seeing a couple of trends that we will continue to monitor. Let us start first with the positive. The average age of vehicles on the road remains an excess of 11 years and deferred maintenance remained at historically high numbers. A couple of key metrics we will keep an eye on is the price of gasoline and miles driven. Fuel prices have steadily increased over the past 30 days and have seen an increase of $0.05 in just the last two weeks. And as for miles driven and after posting positive growth numbers of 2013, they have now trended down slightly for two consecutive months. Harsh winter conditions could be impacting these results and we would hope to see these numbers normalizing as we head into the summer months. So in closing, we are pleased with our first quarter results and encouraged by the strong start of the year. We are proud of our management team and know they remain committed to driving profitable growth throughout 2014. While we have much work ahead of us, we remain optimistic that the initiatives we have put in the play are having positive impacts on our results. We like to personally thank all of our NAPA associates both in North America and GPC Asia-Pacific and Australia and New Zealand for their efforts in the first quarter. So that completes our overview of the automotive business. And at this time, I'll hand the call over to Carol to get us started with the review of our financial results. Carol?
Carol Yancey: Thank you, Paul. We will get started with the review of our first quarter income statement and the segment information, and then we will review a few key balance sheet items. Tom will come back up and wrap it up, and then we will open the call up to your questions. Total revenues were $3.6 billion for the first quarter, an increase of 13% from last year, consisting of a 10% contribution from acquisitions, 4% underlying growth, and this was offset by 1% headwind from currency. Gross profit for the first quarter was 29.9% of sales, up 110 basis points from the 28.8% last year. Primarily, the increase reflects the favorable impact of higher gross margin in our alteration business which owns 100% of its stores. Excluding the impact of GPC Asia-Pacific which we will annualize in the second quarter, our underlying gross margin was down slightly from last year's first quarter, and this was due mainly to customer and product mix shift across all of our businesses. We will continue to seek opportunities for margin expansion. And for the year, we would expect gross margin to be in the 30% range. As an additional point of interest, we are seeing some slight inflation in our non-automotive businesses today and not seeing that in the automotive sector, and we do not expect this change much over the balance of the year. Our pricing year-to-date through the first quarter is flat for automotive, 0.8% for industrial, 0.7% for office product and 0.8% for electrical. Turning to our SG&A, our total expenses were $841 million in the first quarter, representing 23.2% of sales. Our SG&A expenses as a percent of sales were up 130 basis points for the quarter. And much like the change in gross margin this primarily reflects the impact of higher SG&A cost and GPC Asia-Pacific again due to their 100% store model. Before GPC Asia-Pacific, our expenses are slightly improved from last year as a percent of sale and primarily reflect the cost savings associated with the freeze of our pension plan that was effective January 1, 2014. Although, these savings were partially offset by increases in other retirement related benefits, the pension freeze will continue to favorably impact our overall retirement related cost in the periods ahead. In addition, we continue to focus on effectively managing the cost in every area of our business. We're seeing progress in areas such as supply chain efficiency and labor productivity and we see room for further improvement in future period. The first quarter savings from our cost initiatives were offset by increases in items such as healthcare and incentive-based expenditures. And we remained challenged by the lack of leverage associated with only slight underlying sales growth in our non-automotive businesses. That said, in consideration of the GPC Asia-Pacific store model and ongoing savings associated with our cost initiatives and the expectation of the gradually improving sales environment in our non-automotive segments, we expect total SG&A to improve in the quarters ahead and to be approximately 23% of sales for the full year. Now, let's discuss the results by segment. Our automotive revenue for the first quarter was $1.9 billion and represents 52% of sales, and up 23%. The operating profit of $150 million is up 24%, so the margin improved 10 basis point to 7.9% from 7.8% last year. Our industrial sales were $1.14 billion in the first quarter, which is 32% of total revenue and up 3.7% from 2013. Our operating profit of $83 million is up 5.3% and the operating margin of 7.3% is up 10 basis points from the 7.2% in the prior year. We are pleased to see this improvement in Motion and continued top-line growth in this business will help this further. Our office products revenues were $418.1 million in the quarter or 11% of our total revenues and down just the 0.5%. Our operating profit of $33.9 million is up 2.3%, so their operating margin was up 20 basis points to 8.1% from the 7.9% last year. The Electrical/Electronic Group had sales in the first quarter of $180.3 million, which is 5% of total revenue and up 29.6%. Their operating profit at $15.5 million is up 48.6% and their margin shared a strong jump to 8.6% from the 7.5% in 2013. So our total operating profit was at 16% in the first quarter and our operating profit margin was up 20 basis points to 7.8. We're encouraged by this improvement and especially pleased that each of our businesses contributed to the overall increase. We are focused on consistently growing our margins in the periods ahead and expect to show 10 basis points to 20-basis point improvement for the full year. We had net interest expense of $6.2 million in the first quarter which is up from last year due to the incremental interest income earned in the first quarter of 203 that was in associated with our large cash balance held for that period. This cash was used to purchase GPC Asia-Pacific on April 1, 2013. And we expect interest expense over the next three quarters to be slightly favorable to the prior year and can be in the range of $22 million to $24 million for the full year. Our total amortization expense was $8.9 million for the first quarter which is up from 2013 due primarily to the GPC Asia-Pacific acquisition as well the industrial, electrical and office acquisitions that were completely more recently. Currently, we expect amortization expense to be in the $35 million to $37 million range for 2014. The other line which reflects corporate expense was $23.6 million expense for the quarter, which is up from the $14.3 million in the first quarter last year. This increase reflects higher expenses for a variety of items including insurance and incentive related costs. In addition, we had a more favorable retirement plan valuation adjustment in the first quarter last year. We expect this line to be in $75 million to $80 million expense range for 2014, which compares to $67 million in 2013 before the $33 million one-time gain on GPC Asia-Pacific acquisition that was reported in the second quarter of 2013. For the quarter, our tax rate was approximately 35.5% which compares to 35% last year. The lower Australian tax on GPC Asia-Pacific's pretax earnings continues to benefit our overall rate which is typically lower in the first quarter relative to our full year rate. Last year we had a more favorable retirement plan valuation adjustment which is non-taxable. We continue to expect our full year tax rate to be in 36% to 36.5% range for 2014. Net income for the quarter was $157.5 million and EPS was $1.02 compared to the $0.93 last year and up 10%. Now let's move on to the balance sheet. Our cash at March 31 was $103 million, which is down from the approximate $842 million in March of 2013 and $197 million at year-end. The decrease in cash related to the cash used in the first quarter of acquisition, a pension contribution and share repurchases. Additionally, our cash position was especially high at this time last year as about half that balance related to the cash we held for the April 1, 2013 acquisition of GPC Asia-Pacific. With these items in mind we are comfortable with our current cash position at March 31. Accounts receivable of $1.8 billion at March 31 increased 13% in the same period which is inline with our 13% sales increase for the quarter. We remain focused on our goal of growing receivables at a rate less than revenue growth in the periods ahead and we're very satisfied with the quality of our receivables at this time. Our inventory at quarter end was $3.0 billion, which is up 1% from December 31 and up 16% from March 31 last year. Before the impact of acquisition, our inventory is down 1% from December 31 and up 1% from March of last year. So our team continues to do a very good job of managing our inventory level. We will remain focused on maintaining this key investment at the appropriate levels as we move forward through the year. Our accounts payable balance at March 31 was $2.3 billion which is up 30% from March of the prior year due to the positive impact of our extended payment terms and other payables initiatives established with our vendors as well as the impact of acquisition. Our continued improvement in this area and its positive impact on our working capital in days in payables is encouraging and we expect this trend to continue in the periods ahead. Our working capital $1.9 billion at March 31 compares to $2.3 billion at March 31, 2013. Effectively managing accounts receivable, inventory and accounts payable is a high priority for our company and our ongoing effort with these key accounts have resulted in solid improvement in our working capital position and cash flow. Our balance sheet remains in excellent condition at March 31, 2014. Our total debt at $900 million at March 31 represents approximately 21% of total capitalization. It includes two $250 million term notes as well as another $400 million in borrowing under our multi-currency syndicated credit facility. We're comfortable with our capital structure at this time although we may choose to pay down some of our current debt outstanding under the syndicated credit facility during 2014 depending on the investment opportunities that could arise. In the first quarter, our cash from operations was approximately $60 million and for the full year we would expect cash from operations to be in the $900 million to $1 billion range, and we would expect free cash flow which deduct capital expenditures and dividends to be on the $500 million range. We are pleased with the continued strength of our cash flows and remain committed to several ongoing priorities for the use of our cash which we believe serve to maximize shareholder value. Our first priority for cash is the dividend which have paid every year since going public in 1948 and have now raised for 58 consecutive years, which is a record continues to distinguish genuine parts from other companies. Our annual dividend of $2.30 per share on 2014 represents a 7% increase from the $2.15 per share paid in 2013 and it's approximately 52% of our 2013 earnings per share, which is well within our goal of the 50% to 55% payout ratio. Our goal would be to maintain this level of payout ratio going forward. Our other priorities for cash included the ongoing reinvestment and each of our core businesses, strategic acquisitions were appropriate and share repurchases. Our investment and capital expenditures was $18.4 million for the first quarter, which is up from the $12.9 million in 2013. We expect our capital expenditures to pick up over the balance of the year and look for CapEx spending to be on the range of $140 million to $150 million which compares to the $124 million last year. As usual, the vast majority of our investments look to be weighted towards productivity enhancing project primarily in technology. Depreciation and amortization was $36.9 million for the quarter, which is consistent with the fourth quarter but up from the $26 million in the first quarter of last year. The increase on this line reflects the impact of Asia-Pacific as well as our more recent acquisitions and we would anticipate depreciation and amortization to be approximately $145 million to $155 million for the full year. Strategic acquisitions continue to be an ongoing and important use of catch for us and they are integral to the growth plan for the company. Thus for on 2014, we have had three acquisitions including one each for industrial, electrical and office businesses with estimated annual revenues totaling $235 million. These businesses as well those acquired over the last several periods are performing well and in line with our expectations and we are encouraged by the growth opportunities we see for each of them. We will continue to seek new acquisitions across all of our businesses to further enhance our prospect for future growth generally targeting those bolt on types of acquisitions with annual revenues in $25 million to $125 million range. Finally, in the first quarter, we used our cash to purchase approximately 300,000 shares of our common stock under the company's share repurchase program. This follows 1.5 million shared purchased in 2013 and today we have another 10.4 million shares authorized and available for repurchase. While we have no set pattern for these repurchases, we expect to remain active in the program over the balance of the year as we continue to believe that our stock is an attractive investment and combined with our dividend provides the best return to our shareholders. So that is our financial update, and in closing we want to also thank our GPC associates for all they do. It's a team effort here and everyone's hard work is truly appreciated. The company is well-positioned for continued growth and we look forward to updating on our future progress when we report again. I will now turn it back over to Tom. Tom?
Tom Gallagher: Thank you, Carolyn and Paul for your updates. So that will wrap up our prepared comments and, in summary, we would say that we feel that we came to the quarter in pretty good shape and about where we had planned to be. As we look out over the reminder of the year, we continue to feel positive about our prospects in all four of our business segments. In automotive, we anniversaried the GPC Asia-Pacific acquisition as of the 1, April, which will moderate our overall automotive group growth rates over the reminder of the year. But we continue to feel good about the underlying fundamentals and the automotive aftermarket as Paul just covered and we feel good as well with results that we are seeing from our various initiatives. The one unknown for us right now is the strength of the headwind that we will encounter over the reminder of the year due to currency exchange. As mentioned earlier, it was over 1% in the first quarter. With all of that said however, we feel that we should raise the bottom end of our full year automotive guidance plus 5% to plus 6% and for now leave the top end to plus 7%. As mentioned during our comments, we're a bit encouraged by some of the signs that we are seeing in both the industrial and electrical markets and we would reaffirm the previously provided full year revenue guidance of 5% to 7% for industrial and 25% to 30% for electrical. And in office products now having the bit of clarity around the Office Depot business we need to raise the guidance from the previously provided plus 1 to plus 3 to plus 3 to plus 4. Putting all this together will give us a full year increase of 68% which is up from our previously provided 5% to 7%. On the earnings side, our prior expectation was to be in the range of $4.47 to $4.57 and at this point we would say that a range of $4.49 to $4.59 is probably more appropriate. Now although we don't provide quarterly guidance, as a point of information there will be a bit of choppiness on the quarterly basis due to some of the one-time purchase accounting adjustments related to the GPC Asia-Pacific acquisition in Quarters 2 and 3 last year. And as you are updating a model Sid will be available to talk with you on this. But we are comfortable with the current annual guidance of $4.49 to $4.59 that we just provided and we will look forward to refining this a bit further as the year progresses. With that said, we would like to address your questions and we'll turn the call back over to Holly. Holly?
Operator: Thank you. (Operator Instructions) And your first question will come from the line of Scott Ciccarelli with RBC.
Scott Ciccarelli - RBC: Paul went through I guess again as I get older here, but Paul went through a couple of the different growth rates on the auto side. Can you just re-summarize those quickly, and number one. Number two, you guys had some nice improvement on the payment terms, and the accounts payable to inventory. Is that coming from across the different segment or is that more a leverage toward auto where obviously some of your competitors have very capable APied inventory ratios? Thanks.
Carol Yancey: I would say that on the accounts payable that's primarily coming from auto and that would be the majority of what we have seen recently and what we expect to see, but I would also say all of our businesses have initiatives focused on it and it's something that all of our businesses are looking towards doing and have some improvement there. But I would say the majority of the increase is certainly coming from automotive.
Scott Ciccarelli - RBC: Got you. Thank you.
Paul Donahue: And Scott, specifically what were you looking for me to repeat on the automotive numbers.
Scott Ciccarelli - RBC: Well, I guess I think you had said both commercial and wholesale were up to 8% or is that --
Paul Donahue: That's correct, yeah. Commercial and wholesale were up 8%. Our same store sales were up 8% and our retail business was up 9%.
Scott Ciccarelli - RBC: I got it. Okay. And then so we were looking 7% because of the currency?
Carol Yancey: Yes.
Scott Ciccarelli - RBC: Where that's all organic?
Paul Donahue: Yeah.
Scott Ciccarelli - RBC: I got it. Okay. Yep, that cleared up. All right. Thanks guys.
Paul Donahue: You are welcome.
Tom Gallagher: Scott, one of the thing I would just add is one of the things that we really find pleasing about the quarter in the automotive business is the consistency of the performance across all of the segments. I think our team did a terrific job of touching all the bases in this quarter.
Scott Ciccarelli - RBC: Got you. Thanks, Tom.
Tom Gallagher: Thank you.
Operator: And your next question will come from the line of Greg Melich, ISI Group.
Greg Melich - ISI Group: Hi, thanks. Paul you mentioned March has had a nice improvement over the weather disruption in January and February. Could you help us give an idea of the magnitude and whether there was need to shift but impacted that and how April is looking to look more like March or more like the whole first quarter?
Tom Gallagher: I'll take that, Greg, and I will comment on all of the businesses. Automotive showed consistency throughout the quarter; we saw some pickup in March. And then if we look at the other three businesses, one of the things that was a bit encouraging is that in each of those businesses we actually saw sequential improvement as the quarter progressed. And those businesses were prone to be hurt by the impact of weather, but March was a good month for us in all four other businesses.
Greg Melich - ISI Group: And did April look more like March or like the first quarter?
Tom Gallagher: April looks more inline with March.
Greg Melich - ISI Group: Great. And then, second, could you give us some update on how the Australian business is doing organically? And if -- got lost a little bit in that seven number of it, anything in terms of traffic and comp trends there?
Tom Gallagher: As you know, we do not break out that business separately. I think we would just believe that we continue to be very pleased with the job that that team is doing and we think that has got a very bright future.
Operator: And your next question will come from the line of Matthew Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs: My primary questions relates to auto supply and related two parter. The first just relates to how much of the wholesale business associated with a Depot Max deal that you did not previously -- did you think you will capture and I am particularly asking with regard to geographic coverage and do you feel like you have the coverage to get all of their markets? And the second question is related to that. As you think about the price that you may have paid to get that business, is there any margin pressure you would expect on the legacy business as result of whatever it is you took in that bid? Thank you so much.
Tom Gallagher: And I will try to answer that. In terms of how much of the business will we capture we've been named first call as you know. So that gives us the opportunity to fulfill all of their needs across the entire enterprise. And how much will we get, we are pretty optimistic that we are going to get a very high percentage of it. We do have the geographic coverage to support it. We have got the ability to handle all of that business and our intentions are to handle all of that business.
Matthew Fassler - Goldman Sachs: Great.
Tom Gallagher: And then, in terms of any pressures on the legacy business, we would not anticipate that. I think it may be important to point out that I don't believe that this was first and foremost a price decision on the part of Office Depot. I think price certainly was an element. But I think it is important to remember that we have had the Office Depot business for 20 years, and part of the reason I suspect that we might have got the nod is that we have done I think a pretty commendable job of handling that business from day one. So I think price is always a factor but the value add and the level of service and the level of support that you can provide is an important element as well, and I think we faired reasonably well in that over the past 20 years.
Matthew Fassler - Goldman Sachs: And then a very brief follow-up. We can handle this after the call, if you like. But to the extent that you spoke about purchase accounting dynamics for the second and third quarter last year, would there be any adjustments to the current year's numbers or is it just simply a function of understanding the charges that you might have incurred a year ago?
Carol Yancey: We are not anticipating any purchase accounting adjustments to speak out for 2014. It was just a reminder, that we did have the large one time adjustment in the second quarter and then we had a smaller adjustment in Q3. So it's just a reminder about the choppiness due to the prior year numbers.
Operator: And your next question will come from the line of Aaron (inaudible) with Wolfe Research.
Unknown Analyst: Hi. This is actually Chris (inaudible) on for Aaron. Hoping to get your thoughts on -- I was hoping to get your thoughts on increased vehicle complexity. The trend appears to be solely hurting DIY and favor DIFM. But wondering if the increase complexity tick with high grade (inaudible) and even the aluminum F-150, if there comes a point where like the smaller bay and the three bay garage as they are no longer able to handle the work, and how should we think that this relates to NAPA?
Tom Gallagher: Well I would try to take it. Paul may have something to add. I would say one, you are right that the vehicles are going to become more complex and they are going to require a higher level of training and sophistication to do the repair work in the years ahead. On the NAPA side, we have been anticipating this for several years now and we have got training programs for all of our commercial customers that if followed will enable them to do these repairs going forward. The other thing to keep in mind is that the aftermarket is a very, very large industry and you have got 251 million vehicles on the road today. And this new technology that comes in, it comes in on a gradual or evolutionary basis, not a revolutionary basis. So there is a multiyear opportunity for us to be prepared not only from the technical training point of view, but also from the supply chain point of view to handle demands of the vehicle in the future. So we actually see it is an opportunity. To your point, I do think that those on the repair side that for whatever reason are going to avail themselves of the training or aren't a position to buy some of the new diagnostic equipment and tools that will be needed they are going to be threatened. But at the same time, we think that good customers like our major account customers, our NAPA AutoCare customers, this is an opportunity for them to perhaps gather up some share as we evolve through the transition we are going to be going through.
Paul Donahue:
 :
Operator: And your next question will come from the line of Chris Horvers, JPMorgan.
Chris Horvers - JPMorgan: So I wanted to try to parse out a little bit more on some of the March, April commentary. We talked about an Easter shift. Is it possible to look at what average daily volume growth was like in the DIY in the commercial side of the order parts business, to try to figure out what the underlying trend is?
Tom Gallagher: It is a hard number to come up with, but it will be -- we would suggest it would be less than 0.5%.
Chris Horvers - JPMorgan: I got you. In terms of the impact. I understand. In that DIY number was just I mean through the roof, is there any reason to think that first the Easter shift had more of an impact of that side of the business? And can you dig into some of the category performance in DIY where that acceleration was made. As I think, then DIY would say well wiper, it's cold, it's smelly as batteries, as wipers and that really surge of demand in DIY should have already past, that actually seems like it showed up later. So can you just talk about the category that show the acceleration and how you think about the performance in DIY and commercial, both took you and then as you get into the balance of the year?
Paul Donahue: Yeah. Chris, this is Paul. Just to -- let me take the retail piece first. And I think I would start by telling you that, overall our team is performing at a higher level, executing at a higher level. We have done a lot of work in our stores. We reset our stores, re-merchandized and extended hours, better signage, better associate care on the floor for our customers and dedicated care on the floor. So I think all of that has a positive impact on our retail business. And we really saw that trend throughout the past year. You couple that with the harsh winter weather and that harsh winter weather that really drove we think some real emergency type repairs. An emergency type repairs, you got stuff breaking down right, so you got batteries that need to be replaced, wipers that need to be replaced, wipers that need to be bought, chemicals that need to be bought. We saw positive growth in every one of those categories throughout the quarter. So I would say really it's a combination. I think, one, our execution is better and then I think the harsh winter weather grow folks into our stores to get some emergency repairs done quickly.
Chris Horvers - JPMorgan: You would think in, I mean, Tom's comment that April looks more like March in auto, you would think that people aren’t repairing, changing their batteries out, because it's warmer and the cars were starting. So I guess it's the demand starting to spread to more of the repair and maintenance categories that aren't more emergency in nature?
Tom Gallagher: I think that's a fair assumption. And my comment about April was not just for automotive. That was also for other businesses as well.
Chris Horvers - JPMorgan: Understood. And then that's a good segue. So on the industrial business it did, it seem like the organic growth came in the little lighter than you were originally anticipating. So did actually the weather end up having more of an impact on that business in the middle part of the quarter that you expected is what you have seen in March and April, more in line with how you originally thinking about the year.
Tom Gallagher: Well we did have an improved quarter organic growth wise. We did have an improved quarter around for the addition of some acquisition volume as well, but we did see some improvement organically and we also had the impact negative impact of the currency exchange in the quarter which was just over 1% in the industrial business. To the second part of your question. Our non-automotive business are hurt by the kind of whether that we experienced in the first quarter, because its business closures and we don't experience increased demand because of cold temperatures. We do get the benefit of increased demand on automotive offset by whatever number stores and customer locations that are closed, but it was a headwind in the quarter the weather was and that's behind us now. So we have got a degree of optimism for the reminder of the year.
Chris Horvers - JPMorgan: Okay. And then just the final one on the margins. At what point an organic growth in the non-automotive businesses do you start to see vendor allowances picking the year to year and then similarly getting leverage on the SG&A side? Thanks.
Tom Gallagher: I will try to that and Carol can help, but I would say that we need approaching mid-single digit growth in those businesses. One of the offsets potentially to any volume instead a program is a fact that our team is doing a better job ever increasing better job on our inventory management. So I think Carol covered the inventory numbers overall but we are doing a better job and each of the business is on a continuing basis. So we run the businesses, we don't use the balance sheet to prop up the income statement. So if we can generate mid-single digit growth in any of these businesses and at the same time through better visibility and better technology hold inventories even that's what we are going to do; we are not going to push the inventories in order to try to qualify for any additional rebase that might be earned.
Carol Yancey: And I think just one of the things on the volume incentives, there was not really an impact on the quarter. Our volume incentives were basically flat compared to the prior quarter and we're modeling flat this year for 2014. So I think there are some other things that should come into play with our gross margin initiatives that we should get the improvement from those areas rather than just the sheer volume incentive.
Operator: Your next question will come from the line of John Ruvolo, Bank of America.
John Ruvolo - Bank of America: First question would be to you, Carol. If we think about the auto business if we think about the year-over-year incremental margins, they have been in the low kind of 8% range over the past few quarters. I guess the question is this a reasonable one way to think about or other additional levers now that can be pulled given an Exebel would be fully integrated and so forth?
Carol Yancey: Well traditionally, and we try not to base everything on this first quarter. So first quarter tend to be a low margin business especially on the automotive side, and we do have a better seasonality certainly with Asia-Pacific and what our first quarter is their winter, if you will, but we have the seasonality so on a full year basis we would point you more to looking at the full year margin numbers and so that's what we would expect to be on a full year. And we also looking for a 10 to 20 basis point improvement on a full year basis.
John Ruvolo - Bank of America: Okay. That's helpful. And maybe more of just a strategic question here thinking about the office products business and you guys currently have eight proprietary brands there which it would appear that there would be at least some degree of costs that's associated but supporting those trend. Is there any business rational potentially should consolidating the brand and going to the market with maybe a more consolidated portfolio, if you will?
Tom Gallagher: I don't think that's part of our thought process currently. I think what we are comfortable with the way we are managing the product portfolio today.
Operator: And your next question comes from the line of Brian Sponheimer with Gabelli & Company.
Brian Sponheimer - Gabelli & Company: A couple of questions here. With auto being at 8%, how much do you think a piece of that came from market share gain and how much do you think may have come from what will be the advance General Parts conglomerate when that's all integrated?
Paul Donahue: Yeah, Brian, this is Paul. A couple of things. One, it's kind of difficult to tell at this point but I would tell you that as far as your question on the Advance CARQUEST acquisition though. It's pretty early we are encouraged by the things that we are seeing happening in the fields but it's very early. And I can tell you that for the first quarter there was really no material impact on our numbers in the first quarter as a result of those two businesses coming together.
Brian Sponheimer - Gabelli & Company: Okay. And just Motion Dynamics staying fairly stable so far.
Paul Donahue: Absolutely, you are talking about in the marketplace, Brian?
Brian Sponheimer - Gabelli & Company: Yeah.
Paul Donahue: Yeah, so for everybody is -- it seems to be pretty rational out there. We are certainly as Carol pointed out in her comments we are not getting any help from price increases, but it's rational.
Brian Sponheimer - Gabelli & Company: As this year progresses and let's say things begin to get any better do you foresee a mix shift back towards the best and better products, Paul, or is that just something that you think it's going to be a major part of the marketplace going forward?
Paul Donahue: Well it's hard to tell. Brian, we do have a good, better, best offering of products for sure on the marketplace. We promote all three, we push all three, we have seen bit more of a flight to value on recent years and I don't know that that's going to change to any effect going forward in '14.
Brian Sponheimer - Gabelli & Company: All right. Thank you. On just one of your comments you said you guys made -- pay down some debt as the year goes on. Given how cheap your borrowing or why would that be the best use of cash as you guys look at how to allocate capital?
Carol Yancey: Right now, what we were saying is we are at 900 right now and we may; it's really going to depend on what opportunities may present themselves between now and the end of the year and certainly that could come in the form of the acquisitions or share repurchases. And honestly, we have to look at how our cash is going to be and our cash flow coming in. So it's really a balancing we made the level similar to last year. We were saying we may take it down a bit from the $900 million that it is first quarter. But we haven't rule out anything, because it's really we are going to look at it as things present themselves between now and the end of the year.
Operator: And your next question will come from the line of Seth Basham, Wedbush Securities.
Seth Basham - Wedbush Securities: Good morning. So I have a couple questions. First, if you could give us a better sense of what underlying gross margins were year-over-year for the auto business when you strip out a specific business?
Carol Yancey: We do not break out the gross margins specifically to the segments. But what we would say is, that you took out the impact of Asia-Pacific for those quarter, our core gross margins were down about 10 basis points and that was really reflected in all of our businesses. And we said that was more of a customer and product mix and it is really representative of all of our businesses. And we would hope -- we have got some things in place and we hope to see that come back a bit between now and the end of the year. And we are kind of targeting at around 30% or just little bit better than that by the end of the year.
Seth Basham - Wedbush Securities: Okay. So full year gross margin guidance hasn't changed versus the prior guidance, right?
Carol Yancey: No, it hasn't.
Seth Basham - Wedbush Securities: Okay, great. And then, in terms of the auto business again, the gap between some of our strongest markets that you referenced, the weather affected markets in the north and north-east versus the least strong market, did that gap changed in this quarter relative to the last quarter?
Paul Donahue: Well, it get somewhat, Seth, and primarily, because some of our divisions and groups down in the south were impacted by the weather in the negative fashion, right. So we had some customer closure and store closures which certainly the folks of north deal with the weather a lot better than we did down here in the south.
Seth Basham - Wedbush Securities: And does that imply that the northern markets actually accelerated in terms of trend in the fourth quarter or the first quarter versus the fourth?
Paul Donahue: Well the north divisions continue to as they were in the fourth quarter, Seth, continue to be strong operators for us absolutely, your assessment is correct.
Seth Basham - Wedbush Securities: Okay, great. And then, can you remind us last year what your same store sales was, the U.S. NAPA Business, adjusted for any selling day differences?
Paul Donahue: Hold on.
Tom Gallagher: Just give us a second.
Paul Donahue: Yeah.
Tom Gallagher: Hold that up.
Carol Yancey: For the first quarter?
Seth Basham - Wedbush Securities: Yeah.
Carol Yancey: 5%.
Tom Gallagher: No, no.
Carol Yancey: That is not.
Tom Gallagher: First quarter 2013, our same store sales were just up modestly, basically flat.
Carol Yancey: It has…
Seth Basham - Wedbush Securities: On a same day basis?
Tom Gallagher: On a same day basis.
Paul Donahue: Yeah.
Seth Basham - Wedbush Securities: Okay. And then lastly, it relates to be office business, the incremental $100 million of sales you guys expect from the OEP win, should we expect that to come at similar margins to the segment average?
Tom Gallagher: No there will be, it will be a little bit lower than the overall average.
Operator: The next question will come from the line of Keith Hughes, SunTrust.
Keith Hughes - SunTrust: My question has been answered. Thank you.
Carol Yancey: Thanks Keith.
Operator: And your next question will come from the line of Bret Jordan, BB&T Capital Markets.
Bret Jordan - BB&T Capital Markets: A quick question I guess is as you look at the accounts payable to inventory and you are pushing towards 80% and I imagine mostly that is on the back of the automotive side, where do you see that number getting to? Do you think you can get the motion and electrical suppliers to sort of drink the cool aid on extended terms or because most of it come from auto they might be hard to get it up from here?
Tom Gallagher: I don't think we plateau. So I think you will see a bit of improvement from here. As far as the first part of the question, this concept is not spread throughout the other businesses. So it's going to be more difficult and more time consuming to accomplish what we would like to accomplish in those businesses but I think we still have a little bit of headway yet in terms of bringing it up.
Bret Jordan - BB&T Capital Markets: Would we think that your auto AP inventories in the 90s if your aggregate AP was in 79.
Tom Gallagher: We haven't worked that number.
Bret Jordan - BB&T Capital Markets: Okay. And then I get the question go back to market share unlocked you say has changed in the first quarter but as you picked up distributors from the CARQUEST transaction.
Tom Gallagher: We have had some positive results there, it's little early in the process, but there have been some movements, yes.
Bret Jordan - BB&T Capital Markets: Talk about how many or (inaudible) where you to drive that or
Tom Gallagher: No, we wouldn't want to do that.
Bret Jordan - BB&T Capital Markets: Okay. And then one last question. I will give you one last one. As you talk about the strong categories I think you said the friction you were getting better into the second quarter. Is chassis or any other categories staying strong out of what with the venture of real seasonal demand spike as people do post winter repairs? I understand with batteries are hitting a much of amount of peak in Q1 but are there other peaks in the business that are driving Q2?
Paul Donahue: Yeah, Bret, you are right, we saw certainly Q1 was big growth and batteries as we saw in Q4. Our chassis has a good first quarter as well. We are expecting that business to continue strong into Q2, you look at some of the potholes up in the northern part of the country I think there is going to be an opportunity for chassis for sure. As we look at our core categories breaks and filters, for example, with people now as the weather warrants up people get the cars into the base that's the business that we are expecting to see a nice ramp up here in Q2 and Q3.
Operator: And your final question is a follow-up question from the line of Greg Melich with ISI Group.
Mike Montani – ISI Group: Yes, hey, guys. This is Mike Montani on for Greg. Just wanted to follow-up on the full year guidance. It seems like the revenues were increased by about $140 million, but then EPS by only about $0.02, which seems to imply about $5 million of net EBIT. Is there something that I am missing there, it seems like interest is up a little bit and may be other amortization line items as well to offset? Could you just help me to understand the flow through there?
Tom Gallagher: We will have to get back you on that, Mike.
Carol Yancey: We did not do in terms of the actual revenue and the EBIT. One thing we did do is raise the bottom end of the automotive guidance, so we brought that up in five to six. But I think there were some other changes, some other headwinds in there. And honestly, currency is playing in there a bit too. So did not necessarily come about the way you did.
Operator: And at this time, there are no further questions. I'll turn this conference call back over to management for closing remarks.
Carol Yancey: Well, we appreciate you attending our call today and we appreciate all the questions. And if we can be of further assistance, let us know. Otherwise, we look forward to reporting out after of second quarter numbers. Thank you for your support.